Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to Kuaishou Technology Second Quarter and Interim 2025 Financial Results Conference Call. [Operator Instructions] I will now turn the call over to Mr. Matthew Zhao, VP of Capital Markets and IR at Kuaishou Technology.
Huaxia Zhao: Thank you, operator. Good evening, and good morning to everyone. Welcome to Kuaishou Technology's Second Quarter Earnings from 2025 Financial Results Conference Call. Joining us today are Mr. Yixiao Cheng, Co-Founder, Chairman and CEO; Mr. Jim Bing, our CFO. Before we start, please note that today's discussion may contain forward-looking statements, which involve a number of risks and uncertainties. Actual results and outcomes may differ from those discussed. The company doesn't undertake any obligation to update any forward-looking information, except as required by law. For all important information about this call, including forward-looking statements, please refer to company's public information or the second quarter and interim 2025 results announcement ended June 30, 2025, issued earlier today. During today's call, management will also discuss certain non-IFRS financial measures. These are provided for additional information and should not replace IFRS-based financial results. For a definition of non-IFRS financial results and measures and reconciliation of RFS to non-IFRS financial results and related risk factors, please refer to our second quarter and interim 2025 results announcements. For today's call, management will use the Chinese and the main language. A third-party interpreter will provide simultaneous interpretation in the prepared [indiscernible] and consecutive interpretation during the Q&A session. Please note that English interpretation is for convenience purposes only, in case of any discrepancy, management statements in the original language will prevail. Lastly, unless otherwise stated, all currency units mentioned are in RMB. I will now hand the call over to Yixiao.
Yixiao Cheng: Hello, everyone. Welcome to Kuaishou Second Quarter 2025 Earnings Conference Call. In Q2, we built on our relentless pursuit of delivering compelling user experience and our strong technology foundation using large and modest our content and business ecosystems. These efforts created value for both our users and the business partners while setting record highs across multiple operational and natural metrics. Notably, average DAUs on the Kuaishou App reached a noting high of 409 million in Q2, showing steady year-over-year growth. In Q2, our total revenue rose by 13.1% year-over-year to RMB 35 billion. Adjusted net profit totaled RMB 5.6 billion with a 16% adjusted margin, marking a new high in quarterly profitability. We achieved this remarkable growth while maintaining our commitment to strategic investment in AI even made a macro uncertainties demonstrating our strategic result. It also highlights the resilience of our content and business ecosystems as well as our efficient organizational execution. As you have seen in our results announcement to give the company's business performance, the Board has declared a special dividend of HKD 0.46 per share for the first time since the listing. Amounting to promise HKD 2 billion in total reflects our confidence in the company's long-term growth prospects and solid financial position as well as our commitment to continuously enhancing shareholder returns. We are sincerely grateful for our investors' continued support, quite steady growth wouldn't have been possible with the trust and support of our shareholders. Looking at how we will consider measures such as share repurchases and dividend payments as to reward our shareholders. Next, I'd like to elaborate on the progress of our key business segments in Q2. First, our AI strategy and the progress of our large [indiscernible] generation model Kling AI. For Kling AI, we maintained dedicated to delivering state-of-the-art large visual generation motor technology and product performance. We launched the Kling AI 2.1 model series in May. The latest iteration boosts the comprehensive quality improvements, including better motion performance, more realistic and physical simulation and more acute sematic responsiveness. It offers 2 modes of standard and high quality, providing creators with a differentiated video generation solutions. At the end of July, Kling AI also released a Kling app, which integrates unlimited visualization space, intelligent creation, assistance and real-time multiuser collaboration., The all new feature brings creators a seamless and efficient one-stop creation experience. Kling AI committed to becoming a one-stop creative engine for creators empowering everyone to craft capitating stories with AI. Kling AI has assisted prosumers and corporate clients and exploring more application scenarios, including advertising and marketing, film, television and shorter plays, gaming interactions and smart hardware among other areas. In the short play industry, Kling AI and Kuaishou for short place, to only produce the world's first AI generated athrology series new world is loading. So far it has racked up almost 200 million cumulative reviews globally is setting a new benchmark for AI generated films and television content. These endeavor explorations of Kling AI, application torics to also led to commercialization growth. In Q2, revenue from Kling AI surpassed RMB 250 million. Large AI models also empowering our content and business ecosystem. We launched 1 Rec and end-to-end a generative recommendation large model that represents a new technological paradigm by introducing a reward-based preference alignment and method and leveraging reinforcement learning our large model can generatively predict the videos and match users' preferences from the video library. With this architectural advantage of the new large recommendation model significantly improved efficiency of training and inference computing power. The technology is being used for recommending short video and has improved the user time spend and retention rates. For online marketing services, we explored the correlation between users' omni domain behaviors and marketing service conversion by leveraging grow knowledge and inference capabilities of large language models. The process included the supervised the fine-tuning of omni domain data and optimization of models based on the user preferences. These efforts enable end-to-end prediction of tailored marketing materials increasing click-through and conversion rate driving low single-digit growth in online marketing services revenue. In the e-commerce scenarios, we apply [indiscernible] model, large language models to in-house product information extraction by leveraging LLM knowledge reasoning, we generated structured description of target users use cases and user interest amplifying user product matching efficiency. Second, use growth and content ecosystem. In Q2, average DAUs on the Kuaishou App reached 409 million and MAUs reached 715 million, increasing by 3.4% and 3.3% year-over-year, respectively. The average DAUs on the Kuaishou App have set another new record. The average daily time spent per DAU on the Kuaishou App was 128.8 minutes, while total user spend rose by 7.5% year- over-year in Q2. The steady growth in our user traffic was attributable to our high-quality user growth strategy and optimize the traffic allocation mechanism, more engaging community atmosphere and our differentiated content operating strategy by staying focused on our high use value growth strategy, we improved ROI by reducing user acquisition costs. We also refined our traffic allocation to better align commercial content within user retention, which has strengthened both user experience and stickiness. At the same time, we increased the traffic exposure for top-tier original content, fostering a virtuous cycle between content creation and consumption. And we upgraded the private messaging experience across various scenarios and expanded innovative sort of features that have made communication is more engaging. As a result, the daily penetration rate of private messages among users with mutual followers increased by nearly 5 percentage points year-over-year. Our differentiated vertical operation strategy also further strengthen our connection with the users as we continue to deliver standout content with the [indiscernible] quite characteristics. In the 3 rural verticals, we'll launch the Happy Village, Spring Farming season serious activities featuring so views on agriculture technology and knowledge, e-commerce live streaming to promote agriculture materials, tools and products as well as the spring farming grand stage [indiscernible]-- these activities boosted the interactions between 3 rural creators and interested users with related sort of icon accumulating 12.7 billion total views. As the nation college entries examination approach that we brought together teachers from schools, education experts setting and high-quality creators in the [indiscernible] vertical through live streaming and short videos, they provided students and the families with practical information before, during and after the exam. Third, online marketing services. In Q2, revenue from online marketing services reached RMB 19.8 billion, up 12.8% year-over- year, with the year-over-year growth rates accelerating from the first quarter. We secured additional budgets from marketing of clients across multiple interstates with a proactive outreach and by optimizing our intelligent marketing product solutions with the large AI models, these improvements lowered the threshold for the clients to place marketing materials and also enhanced marketing conversion efficiencies, leading to a notable -over-year increases from both external and closed loop marketing services. In Q2, we also upgraded our AIDC marketing material solutions. The newest iteration moves beyond the general capabilities to better align the consumer specific industry attributes and application scenarios, which further improved the conversion rates for AIGC materials. In Q2, revenue from external marketing services continued to grow driven by strong demand from the content consumption, local services and automotive industries. For the content consumption industry, advertising spending in the short place remain high double-digit growth year-over-year. smart pricing for the in-app purchases and dynamic adjustments of in-apps as promotional events drove this momentum. They improved the users' willingness to pay and increase their time spend, which in turn, expanded revenue for our marketing clients. For clients in the local services and automotive industries who mainly relied on leader-based operations, our native private messaging products improved especially effective in reaching users and driving commercial efficiency. In Q2, we leverage large language models and a model sequence modelings for native private messaging between clients and users, which raised the lead conversion rate in terms of intelligent product placement solutions, the penetration rate of our UAX/asmain solutions and continued rise making up around 65% of total external marketing spending in Q2. In Q2, for closed loop marketing services, we helped e-commerce merchants elevated efficiency of our omni domain intelligent operations by refining our product and traffic strategies. We continue to upgrade our omni platform and marketing solution, a rate in Q2 such as intelligent bidding, supplementary material placement and [indiscernible] product marketing to simplify the placement process and enhance the added placement and stability for merchants in Q2, our omni platform marketing solutions accounted for an increasing share of total closed loop marketing spending. Scenario-wise, revenue from online marketing services related to pan-self-based e-commerce has achieved rapid growth. In addition to continuously introducing high-quality content and merchandise in Q2, we [indiscernible] optimizing our traffic and distribution strategy for pen shelf-based e-commerce, strengthening the synergies between e-commerce business modeled especially for this time shelf-based e-commerce. This refinement lead to simultaneous improvement in the sales of a conversion rate of e-com merchants and effective cost per mile of our close look marketing services. Fourth, our e-commerce business in Q2, e-commerce GMV rose by 17.6% year-over-year to RMB 358.9 billion. We continue to deepen the efficient integration and connection of exceptional content and superior products, further meeting more users, consumption needs and elevating their user experience. As a result, a number of e-commerce monthly average paying users continue to grow year- over-year to 134 million in Q2, while the repeated purchase frequency of active m-commerce merchant users also increased year-over- year. In Q2, our [indiscernible] based e-commerce efforts also further help the merchants captive new business opportunities. For omni domain solutions, pension-based e-commerce GMV continued to outpace overall GMV growth in Q2, accounting for over [ 32% ] of total e-commerce GMV. During the [indiscernible] shopping festival, GMV from the Pentobased e-commerce products, cars rose by over 50%. And search induced e-commerce were sorted by over 140% year-over-year. for new merchants in the pen shelf-based e- commerce will further deepen the marketing host applications, we utilize materials and merchandise information from content-based scenario, helping new merchants achieve basic operations for OnStar marketing for existing merchants operating on a larger scale. We offered a big brand, big strategy, a marketing event for top-tier high event interest products. And Superlink, the official channel of product recommended product leading to a 30% year-over-year increase in average daily active merchants in the shopping mall in Q2 as an shelf base e-commerce expanded rapidly, short video e-commerce GMV grew by over 30% year-over-year, largely due to increasing supply in shorter videos with embedded shopping links. Growth in short video e-commerce GMV also benefited from enhanced supply quality, driven by short videos blockbuster products, from livestreaming sessions, which boosted the matching efficiency between targeted demographics and corcemerchandise. In Q2, new merchant expansion on optimized the scenario development drove the number of active small and medium-sized merchants to rise further year-over-year. We are deeply committed to increasing incentives and resources for new merchants through the [indiscernible] initiative, service provider empowerment and traffic support across scenarios, we have helped them quickly adapt to platform and grow their business. These efforts drove a 50% year-over-year increase in the number of newly onboarded merchants in Q2. We established a product sourcing center to screen high-quality merchandise supplies for merchants and a reduced operational threshold. We also developed a task and service system aligned with the core stages of merchants across tiers covering 4 core scenarios live streaming short view pension of e-commerce distribution, further optimizing the merchant ecosystem. In Q2, we placed a strong emphasis on achieving long-term synergies with KOLs. We help them enhance their conduct capabilities by introducing new features that support follow growth and reengagement boosting the operating efficiency in the private domain. We also established stable distribution channels for merchants by building a platform in doors product, the KOL blockbuster initiative efficiently connected KQLs with a sectional product, while the treasure brand small-line initiative, strengthen the diversity of the product distribution by introducing more branded merchandise. In Q2, monthly available merchandise and KOL distribution increased by 30% year-over-year. We encourage entertaining [indiscernible] to transition in small and medium-sized KQL, bringing a large number of new and small KOLs into leading KOL teams and organizations and provided them with a tailored incubation path and commercialization models. These steps facilitate rapid growth of [indiscernible] over the mid- to long term, the small- and medium-sized KOLs will become a key growth engine for our ecosystem. In Q2, incorporated AI capabilities in merchants and to end operations, particularly in AIG economy production, smart live streaming and talent and customer service an integration reduced merchant operating costs on the [indiscernible] ecommerce platform, our panchadvanced AIG's capabilities are fully embedded across our e-commerce content ecosystem. This directly improved product conversion efficiency in various scenarios, including product cars and short videos through the automated generation and [indiscernible] optimization of high-quality materials. Going forward, we aim to use larger models to reconstruct action between customers and merchandise, making a substantial upgrade for meeting immediate demand to predicting potential demand. Next, our live streaming business. In Q2, live streaming revenue grew by 8% year-over-year to [ RMB 10 billion ] as we continue to develop a rich ecystem and top-tier live streaming content to meet users' needs. We ramped up our efforts to boost the revenue efficiency in our core categories, including group and [indiscernible] live streaming, more specifically when we fund operations and leverage regional actuals with a greater emphasis on combining short videos with the streaming. [indiscernible] innovation and application live streaming, voice chat and other real-time interactive scenarios. By the end of Q2, our partner talent agents is that a reason by more than 20%. [indiscernible] and agency management streamers increased well over 30% year-over-year. On top of that, we announced online and offline life streaming tenors providing a broader stage for exceptional live streaming content from [indiscernible] operation or group and Tangshan Bubble Dragon in Q2, Grand Stage expanded its reach nationwide establishing a presence in 57 cities across [ Holbeton Huadong Jongsung ] provinces, among others, a lot streaming business can deepen its cooperation with the game developers by hosting e-commerce events such as CrossFire Mobile Champs, [indiscernible] events, by combining content ecosystems, our advanced sources and user consumption, we provided game developers with end-to-end support them from exposure to conversion based on their true life cycle stages and specific is our life recontinue to empower traditional industry. In Q2, average daily number of users submitting [indiscernible] increased by 40% year-over-year, and the number of matches grew by over 150% year-over-year in [indiscernible] housing daily lead generation surged by over 60% compared with the same period last year. Finally, in terms of our overseas business and local services process. In Q2, we continue to develop overseas business at a steady pace. Revenue grew 20% a year. year-over-year to RMB 1.3 billion. We continue to expand our new users through innovative channels and improve the customer acquisition efficiency with the refined operations, strengthening the core user base. As a result, the due in Brazil, One of our core international markets remained stable with consistent growth in average daily time spent per DAU year-over-year. On the monetization, we actively expanded the industry coverage of advertisers to continually expand our product capabilities maintaining healthy year-over-year growth in online marketing services revenue. For our e-commerce business in Brazil, our end-to- end digital empowerment of local merchant operations enabled content-driven imbursement consumption, real-time interaction and rapid conversion driven consistent, solid year-over-year from quarter-over-quarter growth in transaction scale and order volume in Q2. In Q2, GMV 4 focuses increased steadily year-over-year category-wise, we strengthened our cost controls in our in-store dining services and strategically avoided subsidy competition while supporting high ROI product growth in our general in-store business. On the supply side, we continue to improve our core categories and price comparison capabilities, promoting the healthy growth of competitive products and low-priced supplies. In Q2, the amount of daily average available merchandise leaves about over 55% year-over-year. On the demand side, our city- specific refiner operations and elevated user experience, coupled with improved smart subsidy model drove the overall healthy growth of the business. In terms of content, we remain committed supporting the distribution of high-quality traffic on our platform. Furthermore, recommendation funnels aided by larger models has also prepared increases in video is efficiency enhancements, local services, shortage scenarios. For monetization, we meeting users' diverse placement needs by expanding optimizing advertising products, resulting in almost 120% of year-over-year revenue increases. In addition, [indiscernible] display improved both subsidy and operating efficiency, further narrowing the operating loss in our local services and year-over-year and quarterly over quarter. So back on the first half of 2025, our advanced our AI strategy at a steady pace, accelerating the commercializing process, while achieving continuous technological breakthroughs. Looking ahead to the second half, we will make steadfast investments in with a continued commitment to exploring technologies value in creating efficiency for creators, marketing clients and e-commerce merchants as well as discovering new commercialization opportunities with a greater potential. As we maintain high-quality growth in our existing business, we'll continue to promote synergies between our content and a business ecosystem, allowing both to flourish. As always, we'll base our operations and our user needs and strive to amplify operational efficiencies for merchants and marketing clients working with the users, creators and partners to a long-term value through long-term sustainable growth. That concludes my prepared remarks. Now our CFO will review the company's financial update for second quarter of 2025.
Bing Jin: Thank you, Yixiao, and hello, everyone. In Q2, despite the challenging external environment, we'll continue to make a breakthrough in both our financial performance and operational metrics by leveraging our industry-leading technology, vibrant user ecosystem, increasingly pros content and solid diversified business ecosystems. AI Technology is now deeply integrated across the majority of our business scenarios. In turn, bring new commercial opportunities and focusing our robust growth momentum, the success in return has reinforced our commitment to long-term steadfast investment in technology. In Q2, our total revenue increased by 13.1% year-over-year to RMB 35 billion and adjusted net profit grew by 20.1% year-over-year to RMB 5.6 billion with a margin of 16%, ensuring our ability to increase profitability. These achievements highlight both the resilience of our business ecosystem and also demonstrate our healthy and sustainable growth potential. Now let's take a closer look. Our total revenue grew 13.1% year-over-year to RMB 35 billion in Q2. The increase was mainly driven by growth in each of our core businesses, including online marketing services, live streaming and e-commerce and Kling AI. Our marketing services revenue increased by 12.8% to RMB 19.8 billion in Q2 from RMB 17.5 billion in the same period last year as we continue to leverage our AI capabilities to optimize our intelligent marketing product solutions, we improved the conversion efficiency of marketing materials, which in turn drove higher spending from our online marketing clients. Revenue from other services, including e-commerce and Kling AI business reached RMB 5.2 billion in Q2, up 25.9% from RMB 4.2 billion in the same period last year. This increase was mainly attributable to growth in e-commerce GMV book, which boosted e- commerce commission income as well as Kling AI's continually growing revenue scale. Rapid durations of Kling AI and expansion into more application snows continues to accelerate its monetization. In Q2, our live streaming revenue was RMB 10 billion, an increase of 8% from RMB 9.3 billion in the same period last year. with further developed specialized verticals to build a diversified live streaming ecosystem. At the same time, we consistently refined the operations of our core categories and the deepening of the integration of short video and live streaming, which led to greater user engagement with high-quality live streaming content. Cost of revenues increased by 12.3% year-over-year in Q2 to RMB 15.5 billion and accounted for 44.3% total revenue. The increase was mainly due to increased revenue sharing costs and related to taxes in line with our revenue growth, partially offset by decreases in [indiscernible] of property and equipment and rate-of-use assets and amortization of intangible assets. In Q2, gross profit grew by 13.8% year-over-year to RMB 19.5 billion. Gross profit margin was 55.7%, an increase of 0.4 percentage points year-over-year, an increase of 1.1 percentage points sequentially. Moving to expenses. Selling and marketing expenses increased by 4.6% year-over-year to RMB 10.5 billion, accounting for 30% of total revenue, a drop from 32.4% in Q2 last year. The increase in selling and marketing expenses was mainly due to increased spending on business promotions, including online marketing services and e-commerce business, while the decline as a percentage of total revenue was attributable to our improved operational efficiency, research and development expenses were RMB 3.4 billion, rising by 21.2% year-over-year and accounting for 9.7% of total revenue. The increase in R&D expenses was mainly due to increased investments in AI administrative expenses increased by 13.3% year- over-year to RMB 897 million, accounting for [ 2.6% ] of total revenue. The increase in administrative expenses was mainly due to higher employee benefit expenses including related share-based compensation expenses, corporate level net profit for Q2 was RMB 4.9 billion. Group level adjusted net profit rose 20.1% and year-over-year to RMB 5.6 billion with an adjusted net margin of 16%. As the company's profitability and cash management capabilities further improved, our cash and reserves continue to increase with cash and cash equivalent, time deposits restricted cash and wealth management products totaling RMB 101.9 billion as of June 30, 2025. We generated positive operating net cash flow of RMB 8.5 billion in Q2. Additionally, we actively deliver on our commitment to shareholder returns based on the market conditions. As of June 30, we had repurchased an aggregate of promisely HKD 1.9 billion or around 38.8 million shares which accounted for about 0.9% of our total shares outstanding within year 2025. I'd like to explain the changes we are planning to make in our GMV data disclosure. As we further diversify our e-commerce business model and revenue mix, quarterly GMV is no longer a core indicator of our e-commerce business performance we began to release quarterly GMV figures after the company went public because we wanted to make it easier for the market to follow Kuaishou's growth trajectory as an upcoming e-commerce service platform. Now that this year's expected GMV exceeds RMB 1.5 trillion. Our e-commerce business will be driven by a more nuance the combination factors going forward. These include a more diverse e-commerce scenarios, AI-empowered merchant solutions and improved comprehensive experiences for e-commerce users, which cannot be fully captured by the quarterly GMV metrics alone. As such, beginning in the first quarter of 2026, we will no longer disclose quarterly and yearly GMV separately. Hence, everyone can focus on a more comprehensive set of indicators that can better reflect the long-term value created by the company. This adjustment is aligned with our industry peers practice and will help investors gain a more accurate understanding of our operational priorities and long-term strategies. We will still disclose GMV data in our third and fourth quarter reports this year and annual report of 2025, as we have been doing to ensure the market has sufficient time to process and adapt to this adjustment. In summary, looking ahead, we will continue to focus on our user needs while remaining committed to investing in we will further build our content and business ecosystem mode, maintaining solid financial performance improvements that drove the company's sustainable profitability and create long-term value for users, funders and shareholders. That concludes our prepared remarks. Operator, now let's open the call for questions.
Operator: [Operator Instructions] [Interpreted] Your first question comes from Lincoln Kong of Goldman Sachs.
Lincoln Kong: [Interpreted] So my question is about the Kling AI. We have seen clean second quarter, the revenue keep accelerating, Could management leverage what the major use cases for Kling AI users at the moment? In future, how should we think about the potential break-through and upgrade areas? What's the growth strategy for Kling AI for the future?
Yixiao Cheng: [Interpreted] Thanks for the question. Currently, Kling AI's users include both mass creators with an interest in AIGC and professional creators such as [ pan-seleusers ], designers and artists e-commerce/advertising industry professionals and film television production studios. At the moment, Kling AI's major paying users are professional creators. In terms of application scenarios, AIGC-driven mass creators, primarily use Kling AI to produce engaging creative images or videos and share them on social networking or content platforms. Pan cell community users adopting Kling AI to quickly create short video content such as popular size, content visualization. They efficiently gain traffic and achieve monetization by taking advertising orders. designers and artists can leverage Kling AI to inspire creative ideas and explore artistic styles, helping them to create all new artwork for e-commerce/advertising industry professionals, they use Kling AI to produce high-quality product displays and creating advertising materials at lower cost, significantly lower costs, elevating operating efficiency as for film and television production studios, they use Kling AI for preproduction concept design, special effects and establishing shops. Looking on had -- as our model's overall performance improves, we hope to expand the Kling AI's use in game production, professional film and tailing vision production and other professional large-scale creative industry scenarios. This will expand our large-scale production user base. In the gaming industry, Kling AI's current corporation with the sort of Justice mobile game is largely focused on image generated vis of game characters and interactive special effects that have enriched the game's social features. We believe that Kling AI can play a bigger role in game concept design, scenario generation, character design and other stages that will gain development. For the professional film and television production industry, Kling AI participated in the entire production process of the world's first AI generated pathology series, new roles loading from script formulation to completion demonstrate Kling AI's potential in large-scale professional film and television content production. In particular, Kling AI can overcome the limits of traditional film and television production, which deepened on physical sat construction by generating themes and images that are difficult to create in reality. This capability has brought more creative possibilities to film and television production, enhancing the visual impact and artistic value of films. Regarding our strategy going forward, our core direction is included in our vision of empowering everyone to craft captivating stories with the help of AI. We are concentrating our resources on iterating Kling AI's foundational models and making them generated results more controllable. On the product level, we will serve the needs of our core user demographics by continuously elevating the user product iteration -- interaction experience. Recently, we launched a Kling AI lab, integrating text image, image to video and other features to form a streamlined operational process. It also empowered the creators with real-time collaboration capabilities, offering a seamless and efficient one-stop creation experience. For industrial users in game production and professional film and TV production among other areas, we will drive technological innovation through industry-specific solutions create representative cases of applications and expand the upper limit of our model and product capabilities. As for mass creators, we will engage users with more created features improving product usability, while broadening our user case by embedding innovative in-demand features. In conclusion, we are fully confident in the application scenarios and monetization prospects of our larger video generation models. We also believe Kling AI will maintain its market share leadership.
Operator: Your next question comes from Felix Liu of UBS.
Felix Liu: [Interpreted] My question is also on AI. In addition to Kling AI could management share the AI use cases in your overall business. including content and creator ecosystem, online marketing and e-commerce? What are the major progresses so far?
Yixiao Cheng: [Interpreted] We have consistently focused on deeply integrating AI technology throughout our existing businesses. In Q2, we rolled out the 1 rack end-to-end generated recommendation large model and used it for recommending short video content, improving both user time spend and retention. One Rack has also been fully applied to recommendations in local services scenarios, propelling notable growth in local services GMV. For online marketing service scenarios in Q2, our large AIs made significant progress in AIGC marketing material generation, marketing placement, bidding and marketing recommendations. In terms of the AI-driven marketing material generation in Q2, we began to explore AIGC marketing material product solutions, but better aligned with the customers' industry attributes and applications never take digital human live streaming in the apparel industry, for example, we launched a streamer model with dual person live streaming features supporting real-time outfit changes and displays by models according to streamers commentary. Once the feature was released, a men's wear client changed all of their live streaming sessions from real person to digital [indiscernible] and increase their marketing spend by almost twofold. For marketing placement bidding, we continue to optimize generative bidding, relying on the quality of our data set and leveraging reinforcement learning by modeling long-term value-driven strategies we exports reach sample data to heightened marketing conversion rates and marketing recommendations, we harnessed the content understanding and inference capabilities of large language models that were generating a retrieval, uncovering potential relations between users' omni domain behaviors and advertising conversion. This enabled [indiscernible] generation of ads that users are interested in and with the generated candidate, we've all sent the subsequent preranking and ranking stages, increasing marketing material click-through rates. This improvement from below single- digit growth in online marketing services revenue. For the e-commerce business scenario that we have consistently invested in the building capability centered on all-time model, understanding large models and image to video generation models. We've also seen remarkable results from applying AI technology to search induced recommendations, content generation and other business steps. In terms of AIGC content generation, our self-development advanced AIGC tool is comprehensively empowering the e-commerce content ecosystem. The automated generation and optimization of high-quality materials directly amplified product conversion efficiency in product cards, short videos and other scenarios. Optimization of product images through AI-powered intelligent cropping and expansion technologies, increase the transaction conversion efficiency of related product cards by over 10%. To conclude, it's clear, we are gradually unlocking AI's value in powering our content and business ecosystems, particularly AI led to incremental improvements in the growth of our online marketing and e-commerce business. Going forward, we believe AI will create even greater value for our ecosystem.
Operator: Next question comes from Brian Gong of Citi.
Dapeng Gong: [Interpreted] I will translate myself. A very quick question on advertising. Our online marketing service revenue growth accelerated in second quarter versus first quarter. What do we expect to have strong growth in the second half this year? And how can we seize opportunities from those verticals?
Bing Jin: [Interpreted] Thanks for the question. In Q2, thanks to our proactive customer outreach and our product capabilities and powered largely on [indiscernible] technology. Our revenues from external and cool marketing services also achieved a remarkable year-over-year growth. In the first half of this year, we sold year-over-year increases in the low rate and eCPM, 2 drivers of our growth. We believe these 2 metrics have room for further improvement in the second half of the year. In terms of industry opportunities, we believe regional lead-based industries such as local services and automotive along with the content consumption industries like short plays and mini games as well as native e-commerce will continue to grow more rapidly. In addition to integrating and optimizing private and messaging and lead form as well as other products, we will expand our supply through various methods to increase our marketing client base. For example, in the local services industry, we will deepen operations from mature SKUs and incubate new ones in key sub industries, including medical care, home furnishing and construction interiors. At the same time, we explore growth opportunities in the high-potential regions of our local services business. In the automotive industry, will help auto OEM setup of metrics at subaccounts into their official accounts and guide them to improve operational results through short videos and live streaming, was partnered with more automoted dealers and crucial reasons through channel [indiscernible] in the content consumption industry, we'll continue to encourage clients to align their campaigns with the native in-platform content operations, increasing content value and user stickiness. In addition, we'll dynamically adjust the user payment those for in-app purchases and in-app as promotional events using large model technologies to increase users' willingness to pay and time spend for content consumption. Thereby boosting our clients' revenue. Over the past year, there has been reputed growth in marketing spend onshore place. Next, we are confident we can replicate the net sales funnel and product capabilities of short plays in Kuaishou mini game and novels leading to improved total benefits for clients. For native e-commerce marketing services, we will focus on way forcing the synergies between our marketing services and e- commerce business. This will allow us to align revenue from closed loop marketing [indiscernible] with e-commerce GMV supported by e-commerce merchants expansion, intelligent marketing product upgrade, traffic distribution strategy, integration and stronger monetization of pen shelf-based e-commerce. Specifically, we will design a supportive system for a key targeted merchant to ensure an early-stage performance and customer outreach on larger-scale marketing events, thereby improving merchant retention. Meanwhile, we will strengthen merchants infrastructure capabilities through our omni platform, marketing, AIGC and other intelligent marketing products, lowering the threshold for marketing placement materials. From a traffic distribution perspective, we will zero in on the long-term value of follower growth to strengthen merchants to monetize it on a large scale. In the first half of this year, we achieved rapid year-over-year growth in closed-loop marketing services for pan shelf-based e-commerce as a result of introducing more high-quality supply, optimize the placement channels, funnels and better algorithms, Nevertheless, the advertising take rate for pan-sele shelf-based e-commerce remains far lower than that of content-based e- commerce, leaving ample room for growth. In conclusion, looking ahead to the second half of the year, we'll continue to concentrate on industry-specific customer outreach, iterating our intelligent marketing product and optimizing our traffic strategy and algorithms to improve marketing placement and conversion for clients and drive rapid growth in our online marketing services revenue ahead of the industry's growth rate.
Operator: Your next question comes from Thomas Chong of Jefferies.
Thomas Chong: [Interpreted] We have seen our GMV growth in Q2 exceed expectations. In light of the intense competition in online shopping, help us quite maintain the momentum and outpace industry growth. In particular, can management talk about the progress of Kuaishou based e- commerce as well as the strengthening in monetization?
Yixiao Cheng: [Interpreted] The core driver behind our above expectation, e-commerce GMV growth in Q2 was the synergized ecosystem that we have built on both the supply and the demand side, along with our efforts to accelerate shelf-based e-commerce commercialization. On the supply side, we tailored enabling initiatives to different types of merchants, unleashing the mortality of how omni domain supply. For content-based merchants on Kuaishou, we help them systematically utilize their live streaming and short video materials in pen shock-based e-commerce scenarios aided by semi hosting operation solutions, they achieved integrated many domain marketing with exceptional efficiency. Currently, semi hosting operation solution has been used by over 20% at merchants. For shelf-based merchants, we provided them with exclusive traffic support through the blockbuster initiative and the new product growth initiatives, facilitating their expansion field by marketing activities. As for supply-based merchants, we empowered them through our innovative SuperLink model, which integrates merchandise and mobilizes KOLs for omni domain distribution. These differentiated platform empowerment and capabilities grew 30% year-over-year increase in the number of average [indiscernible] the active merchants in the shopping mall in Q2, along with a broader selection of high potential categories such as fresh food, consumer electronics and home furnishing. On the demand side, we're focused on growing our user base and increasing stickiness, tapping into users' lifetime value. We acquire customers with precision from content-based scenarios. With monthly active paying users in our e-commerce business reaching 134 million in Q2, high-quality users continue to make up a larger share of the space. Meanwhile, we build a closed loop from product recommendation to conversion and repeat purchases, elevating conversion rates through wish list, [indiscernible] deals and other scenario-based tools. These efforts led to steady increases in repeat purchase frequency from e-commerce users. At the same time, we made solid progress in commercialization of pan shelf-based e-commerce. In terms of the commissions, we recommended products through superlit and help the successful bidders conduct omni domain zone adding incremental commissions to our e-commerce business. Furthermore, we help more merchants achieve one-stop operation by providing them with a semi hosting operations service solution. In particular, our optimized AI-powered materials have improved the efficiency of [indiscernible] live streaming content production, delivering completed AI generated eclipse for merchants and boosting additional e-com commissions. For closed-loop marketing services, we improved marketing placement products to incorporate e-commerce merchants top-tier content and product offerings into pan-shelf-based series. This, coupled with heightened matching efficiency from enhanced growing from strategies through substantial increases in the advertising monetization rate for pan shelf-based e-commerce. Looking ahead, as users' consumption needs become increasingly complex and layered, requiring more new launch to decision- making process. Merchants must establish stronger connections with the consumers. Kuaishou will continue to empower merchants across short videos, merchants self-operated live streaming, KOL distribution and pan shelf-based e-commerce and tapping to more predictable incremental opportunities through AI to unlock more business possibilities. Thank you, operator. The last question, please.
Operator: Your last question comes from Yuan Liao of Citic.
Yuan Liao: [Interpreted] My question is about the AI CapEx and net profit margin. So as Kling AI developed further, there are any new updates for CapEx and AI expenses. So what is your full year profitability target for 2025 and where AI's impact on the full year margin remains 1% to 2%?
Bing Jin: [Interpreted] Thanks for your question. As Yixiao said, we are delighted to see the remarkable effect of AI on boosting the quality and efficiency of our operations. And with AI, now Kuaishou content and business ecosystem is also becoming more visible. We can see this in the rapid ramp of Kling AI's revenue. We currently expect the Kling AI revenue to be double that of the target we set at the beginning of the year. This has reinforced our confidence in the value of our long-term investments in Kling AI. We also made additional investments midyear in Kling AI reference computing power. As such, we expect Kling AI-related CapEx to double from the beginning of the year budget. On the expenses front, our budget from the beginning of the year already included expected investments for attracting and retaining AI talent. So we don't expect significant changes for those expenses at the moment. Since Kling AI, the gross margin has turned positive at the inference computing power level and has remained stable through our product iterations and upgrades, the impact of additional investments in inference computing power on the group's profit will remain manageable. As such, we expect the impact of the group's overall AI investments on filling new profitability to hover around 1% to 2%. This means that despite our increased investments in AI, we remain confident in maintaining our full year adjusted net margin at a stable year-over-year level in 2025. In the mid- to long term, we believe there's further room to reduce Kling AI's unit training cost and inference cost. And as we further unlock AI's value across our content and business ecosystem, we believe that the incremental the AI investments will bring sustainable business growth opportunities.
Yixiao Cheng: Thank you, operator. That concludes the Q&A session.
Operator: [Foreign Language]
Huaxia Zhao: [Interpreted] Thank you once again for joining us today. If you have any further questions, please contact our capital markets and IR team at any time. Thank you.